Operator: Ladies and gentlemen, thank you for standing by, and welcome to the FIS Second Quarter 2015 Earnings Call. For the conference, all participant lines are in a listen-only mode. There will be an opportunity for your questions, instructions will be given at that time. As a reminder, today's call is being recorded. I'll turn the conference over to Mr. Pete Gunnlaugsson. Please go ahead, sir.
Pete Gunnlaugsson - SVP-Corporate Finance & Investor Relations: Thank you, John. Good morning, everyone, and welcome to our second quarter 2015 earnings conference call. Turning to slide two, Gary Norcross, President and Chief Executive Officer, will begin with a business summary. Woody Woodall, Chief Financial Officer, will continue with the financial results for the quarter. Today's news release and supplemental slide presentation are available on our website at fisglobal.com. Please turn to slide three. Today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Please refer to the Safe Harbor language. Today's remarks will also include references to non-GAAP financial measures in order to provide more meaningful comparisons between the periods presented. These non-GAAP measures are outlined on slide three as well. Reconciliations between the GAAP and non-GAAP results are provided in the attachments to the press release and in the appendix of the supplemental slide presentation. With that, I will turn the call over to Gary to discuss the second quarter financial highlights on slide five. Gary?
Gary A. Norcross - President, Chief Executive Officer & Director: Thank you, Pete, and good morning, everyone. Thank you for joining us on today's call. Starting on slide five, we finished the quarter with reported revenue of $1.6 billion, which is an increase of 3% on a constant currency basis and delivered adjusted earnings per share of $0.74 while returning $224 million to shareholders. Year-to-date, we have returned $447 million to shareholders through share repurchases and dividends. We continue to invest for growth in order to consistently deliver shareholder returns and generate significant reoccurring revenue. We saw strong deal closure in the quarter and continue to drive long-term client relationships. We are pleased with the recent restructuring and re-segmentation of our business, which has allowed us to align our service and solution portfolio to address clients' unique business challenges. As we discussed in the first quarter call, we continue to experience lower than expected termination fees in 2015. This is a positive long-term outcome. Our earnings per share for the second quarter were better than expected and we remain on track with our current guidance for the year. Moving to slide six, I'll speak to our segment activity in the quarter. As a reminder, our two segments were created to meet the demands of two distinct markets driven by different buying behaviors and growth profiles. These segments allow us to more effectively sell, deliver, and support the clients in these distinct markets. The Integrated Financial Solutions segment is comprised of U.S. financial institutions seeking comprehensive, integrated, and outsourced solutions. This segment drives high higher reoccurring revenue, generates significant cash flow and drives higher margins with expansion through increased leverage. Our Global Financial Solutions segment is comprised of large global and international clients seeking tailored solutions leveraging a combination of products, consulting and professional services. This segment typically drives lower margin and has a higher revenue growth profile. In the quarter, IFS had 89% of its revenue recurring. Deal closure in IFS was solid this quarter with many new wins. FIS was chosen by Pacific Western Bank, a $17 billion financial institution, to replace its retail and commercial banking platform including core processing, commercial lending, consumer and business ebanking, digital, mobile, EFT, item processing and branch technology. This decision was driven by the bank's desire to better position itself for future growth. And another long-term agreement, a $70 billion regional bank chose FIS to provide an end-to-end consumer loan servicing solution. This solution better positions the bank to grow and service its lending business. Also UMB, an $18 billion institution, made the decision to partner with FIS on its loan portfolio. Moving for the first time from an internally hosted platform to an FIS-hosted processing model to gain processing efficiencies and more robust lending functionality. Finally, we signed several new digital banking and payments agreements, including one with Centennial Bank, an $8 billion community bank, who was seeking a new strategic technology partner in support of the bank's initiative to upgrade its digital channels including consumer and business ebanking as well as wire automation solutions. All of these wins demonstrate our ability to capitalize on increasing industry demands for solutions that enhance an institution's ability to meet its strategic growth and operational goals. Turning to our Global Financial Solutions segment, revenue increased 8% on a constant currency basis. We continue to invest for growth in this segment and continue to see steady progress in signing long-term deals. Deal closure was solid as we continue to benefit from the demand for our solutions. In Asia, we saw strong growth from continued expansion of our core banking and payments presence across the region. During the quarter, we continued to expand existing relationships as well as sign multiple new engagements resulting in a growth rate of 29% on a constant currency basis for the quarter. In Europe, we continue to see new opportunities in the emerging challenger bank market. In the quarter, FIS became the strategic technology partner for the newly announced Atom Bank, the UK's first digital-only based bank. We also signed another significant agreement with Crédit Agricole, the leader in consumer credit business in the Netherlands, expanding our existing relationship through the addition of real-time core processing capabilities. In North America, a Top 10 U.S. bank signed a multiyear software and services deal to utilize FIS's leading consumer lending product. This continues to solidify our advanced loan system as the leading consumer lending package in large progressive banks throughout the world. Turning to slide seven. I'd like to summarize the quarter before I turn it over Woody for the financial report. We continue to grow revenue and return cash to shareholders. The restructuring and re-segmentation of our business has allowed us to achieve operational efficiencies, leverage our scale globally, and better align our services and solutions to address clients' business challenges. We are confident that our proven execution and deep client relationships will continue to enable us to invest for growth, maintain the strength of our balance sheet, and return value to our shareholders. Woody will now provide details around the Q2 performance. Woody?
James W. Woodall - Chief Financial Officer & Executive Vice President: Thanks, Gary. I'll begin on slide nine with a summary of our consolidated results for the quarter. In the second quarter, as expected, we continued to face difficult comparisons. Consolidated revenue was $1.6 billion, an increase of 3% on a constant currency basis. EBITDA was $453 million, and the EBITDA margin was 28.5%. Non-GAAP adjusted net earnings from continuing operations were $211 million for the quarter, and $397 million for the first six months of 2015. Adjusted earnings per share was $0.74 for the second quarter. Our highly recurring revenue model combined with several new wins Gary mentioned earlier helped us make consistent overall results despite the continued low termination fees, increased investment in European capabilities and FX headwinds, particularly in Brazil and Europe. FX translation held back revenue by $63 million for the quarter and EPS by $0.03. Non-GAAP results for the quarter are adjusted to exclude $0.12 per share for acquisition related purchase price amortization, $0.03 per share related to acquisition, integration and severance costs and a $0.25 per share gain related to the previously announced divestiture of our Gaming business. This sale generated $238 million in pre-tax proceeds. We are continuing to provide certain check guarantee services to the buyer and accordingly are not treating this divestiture as a discontinued operation for accounting purposes. I will now continue on slide 10 for second quarter segment results. In the second quarter, Integrated Financial Solutions revenue was $969 million, which was flat to prior year revenue. EBITDA was $378 million, which was also flat to 2014. EBITDA margins were 39%, a slight drop of 20 basis points. This margin decline primarily reflects continued low termination fees, which were $14 million lower than the prior year period. In IFS, year-to-date term fees are lower than 2014 by $42 million. As we've discussed in the past, lower acquisition related term fees have an immediate impact in terms of difficult comparisons, but create longer term value as we retain profitable long-term relationships with our clients. Normalizing the quarter for one-time items including divestiture activities and lower term fees, IFS revenue growth would've been 3.6%, speaking to the strength of the underlying business. Turning to slide 11. As you saw in the first quarter, the IFS business consistently produces strong recurring revenues with diverse offerings to deliver consistent performance within the segment. IFS again produced 89% recurring revenue. Our Payment Solutions revenue was down 3%, this was driven by lower pass-through revenues, divestitures and pricing pressure, partially offset by transaction volume growth. Business Solutions revenue grew 5%, primarily driven by card production activities. Banking Solutions revenue were flat compared to the prior year driven by the difficult comparisons discussed earlier. Turning to slide 12, in the second quarter, Global Financial Solutions' reported revenue was $619 million. The second quarter reported results for GFS reflect a negative foreign currency translation revenue impact of $63 million. The majority of FX translation impact was concentrated in the Brazilian real and euro. On a constant currency basis, GFS revenue grew 8% for the quarter and 8% for the first half of 2015. As anticipated, we continue to see a strong U.S. dollar for the back half of 2015 and FX translation will continue to be a headwind. Global Financial Solutions EBITDA was $123 million compared to $126 million in the prior period. EBITDA was $135 million or 7% higher on a constant currency basis in the second quarter 2015 compared to the prior year period. EBITDA margins were 19.8% compared to 20% in the prior year period. Moving to slide 13. Year-to-date 2015, 70% of GFS revenues were recurring in nature consistent with historical performance. For the second quarter, Asia Pacific had strong revenue growth of 29% on a constant currency basis driven primarily by our expanding core banking and payments presence in India. As Gary described, we are pleased with several new signings, and the ability for the team to expand existing relationships in the region. We expect the Asia-pacific region to continue to be a strong grower for GFS. Europe grew 25% on a constant currency basis, driven primarily by our continued success with the challenger banks in the UK, revenue growth from Clear2Pay, and consulting revenue growth. We also expanded an already meaningful relationship with Crédit Agricole. In the North American region, the GFS revenues were $277 million, compared to $287 million in the prior year period. The primary driver of the change was our previously announced non-renewal of a contract discussed in Q1. As Gary mentioned, the underlying business had some nice wins, including a large deal, in our end-to-end lending solutions. As expected, Latin America revenue growth remains modest due to macroeconomic conditions in Brazil. When we resegmented the company, in the first quarter, corporate functions directly supporting IFS and GFS, were moved into the individual segment results. Residual corporate expenses were $48 million for the quarter. We expect corporate expense to trend down in the back half of the year, as we continue to focus on cost actions to improve profitability. Other income, included a gain on the sale of an investment of $7 million. The effective tax rate was 33.4% for the quarter compared to 30.2% for the prior year quarter. As previously mentioned, the prior year quarter included an approximate $0.04 EPS benefit due to a discrete tax benefit. We continue to reinvest in the business, adjusted cash flow from operations totaled $197 million in the second quarter of 2015. Capital expenditures in the quarter totaled $117 million resulting in free cash flow of $79 million for the quarter. The $117 million in capital expenditure is higher than normal, primarily due to the timing of certain investments. For the year, we expect capital expenditures to be in line with our previous guidance of 5% to 6% of revenue. We still anticipate full-year free cash flow to approximate net earnings. For the quarter, we returned $224 million to shareholders, approximately $150 million was returned to shareholders through the repurchase of 2.3 million shares in the open market at an average cost of $64.36 per share. The share repurchase program resulted in our weighted average diluted share count of 284.4 million. Basic shares outstanding at the end of the period were 280 million, approximately $1.2 billion remain on our existing purchase authorization program. In addition, we returned $74 million to shareholders through dividends. Maintaining a strong balance sheet remains a key component of our capital allocation strategy. As of June 30, debt outstanding was $5 billion, resulting in a leverage ratio of approximately 2.7 times debt to EBITDA. This is slightly above our targeted 2.5 times leverage ratio based primarily on the timing of cash flows. We expect our leverage ratio to be at 2.5 times by the end of the year. The weighted average interest rate was 3% at the end of the quarter. Moving to slide 15, our sales execution in the quarter was a tailwind to our Q2 results, a few of the deals were signed more quickly than originally planned, helping to flatten out our back half of the year growth curve. For the full year 2015, we continue to expect reported revenue growth in the range of 1% to 3%, margin expansion for the full year of approximately 50 basis points, 2015 adjusted earnings per share in a range of $3.27 to $3.37, which is a 6% to 9% increase over 2014, and we expect full-year free cash flow to approximate adjusted net earnings. That concludes our prepared remarks. Operator, you may now open the line for questions.
Operator: Certainly. And first go line with David Togut with Evercore ISI. Please go ahead.
David Mark Togut - Evercore Group LLC: Thank you. Good morning, Gary and Woody.
James W. Woodall - Chief Financial Officer & Executive Vice President: Hi, David.
Pete Gunnlaugsson - SVP-Corporate Finance & Investor Relations: Good morning, David.
Gary A. Norcross - President, Chief Executive Officer & Director: Good morning.
David Mark Togut - Evercore Group LLC: Could you talk about the drivers of second half revenue in earnings acceleration, clearly given the earnings pre-release back in April, it's a back half weighted year, so maybe if you could address the drivers, and how much visibility do you have in those drivers both in terms of revenue growth and any expense initiatives, that would be helpful?
James W. Woodall - Chief Financial Officer & Executive Vice President: Yeah. We think about it in four buckets, David, as we've been talking about. Primarily, we've got natural acceleration in the first half versus the second half. If you look over the past four years or so, that's been probably 3% first half versus second half, in terms of accelerated growth. The second would be term fees as we talked about. Term fees in the first half this year were about $42 million lower than last year. We do anticipate more term fees in the back half of the year and have pretty good visibility into them. Reiterating that, low term fees is a good thing for us, long-term. It does create some lumpiness, but it is a good thing for us long-term. The third would be the cost actions. The cost actions that we took in the first quarter, you've seen some of that kick-in, in terms of the margin, in terms of the profitability growth, and we've got more cost levers in the back half if sales execution does doesn't come where we need to be. And then the fourth would be our contract delay that we mentioned in the fourth quarter as it's gotten back on track, you saw some lift in Q2 from it and we believe we'll see further lift in the second half of the year. So those are really the four main drivers, David, and we've got pretty good visibility into them, particularly on the cost lever side.
David Mark Togut - Evercore Group LLC: Thanks. That's helpful. Just as a follow-up, within GFS you mentioned 29% growth in Asia-Pacific. Is that primarily the ramp up of the India ATM contract? And if it is, how is that performing relative to your expectations?
Gary A. Norcross - President, Chief Executive Officer & Director: Well, David, the Indian ATM contract is performing very well. We're very pleased with the team. We're very pleased with the rollout of the ATMs. As volumes continue to grow, that'll continue to be a tailwind for years in the future. But to answer your question, it's a combination of all the above. Frankly, it's the India contract, the team continues to do very well signing new agreements. We announced the signing of Bandhan. They're coming online, so there is just a lot of growth. Mahila continues to grow. We also do some very nice – we've done some nice add-on services to some of our existing clients in Thailand that we've announced around some of the channel operations. So the team is executing very well. So it's really a combination of prior agreements, but it's also a combination of continued strong sales quarter-in and quarter-out in that region.
David Mark Togut - Evercore Group LLC: Quick final question. Big bank progress relative to your expectations when you stepped up investment about a year ago, Gary, where are you relative to your plan?
Gary A. Norcross - President, Chief Executive Officer & Director: I think as we mentioned in the first quarter, we've been disappointed with the results of that ramp-up to-date, but I would continue to say we continue to see signs of traction throughout. We announced as I said a Top 10 bank this quarter that pulled our consumer lending platform and that's huge to see a bank in that size transform all their consumer lending. So we see some bright spots in the execution, David. We're going to continue to monitor it. As we said in the first quarter, we took that opportunity when we weren't seeing the product pull through that we necessarily wanted, we restructured the company and actually brought two major divisions together. We've seen some nice synergies come through that and operating efficiencies that Woody pointed to in the back half. But would I tell you we wouldn't do the investment again? No I wouldn't. It's an important market for us, being able to penetrate our product and services in those markets is going be a long-term success criteria at FIS. So, this quarter showed a number of good signs of product pull throughs.
David Mark Togut - Evercore Group LLC: Thank you.
Operator: Our next question is from Dave Koning with Baird. Please go ahead.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Yeah. Hey guys, nice job getting back on track here.
Gary A. Norcross - President, Chief Executive Officer & Director: Thanks, Dave.
James W. Woodall - Chief Financial Officer & Executive Vice President: Thanks, Dave.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Yeah. And I guess my first question you called out, so within IFS, the banking part of that was flattish and you called out the headwinds from term fees, but in Q1 it was up 12% year-over-year and yet some of those same headwinds that might have even been a little bigger, so I guess just wondering why that decelerated so much?
James W. Woodall - Chief Financial Officer & Executive Vice President: I think what you've got is an anniversering of some acquisition activity, Dave, that we saw benefit the first quarter, that anniversaries into the second quarter. So, that's really what you're seeing in terms of there. The slide 11 that you're looking at is a pure growth number, not necessarily an organic growth number. So, it included the Reliance Trust acquisition and CMSI in the first quarter, you didn't see in Q2.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Okay, no that totally makes sense. And then how soon are we to having all three of those components, and I guess really the underlying question there is when is Payments going to turn positive again, do you have kind of insight into that?
Gary A. Norcross - President, Chief Executive Officer & Director: Yeah, well, I mean if you look at it, Dave, frankly, we've gotten a lot of noise going on in Payments, the term fees has hit significantly there in the quarter. We actually have had an accounting change, where Woody mentioned about our pass through revenues, so you've got some gross to net issues going on in there, and you've also got some compression. But, if you normalize all that, we think we'll see Payments can return to a low single-digit growth rate going into next year, and then accelerate beyond that. Also, keep in mind, we also had the divestiture of Gaming that was in that – in that quarter as well, that's in that number.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Okay. So Gaming did have some of a negative impact already in Q2?
James W. Woodall - Chief Financial Officer & Executive Vice President: It did.
Gary A. Norcross - President, Chief Executive Officer & Director: Yeah.
James W. Woodall - Chief Financial Officer & Executive Vice President: We closed that June the 1, so you saw a little bit of negative there, again the pass throughs as well, and some level of price compression that we saw there. Now, the positive around this, we were offset by some transaction volume growth...
Gary A. Norcross - President, Chief Executive Officer & Director: Yep.
James W. Woodall - Chief Financial Officer & Executive Vice President: ...we were happy to see. We had about 2% growth in our overall transaction volume growth, you can see in some of the charting data that we've started to provide.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Great, okay, and then just lastly, I know, last quarter, you gave us some context on Q2 given, the Street numbers at the time were a little too high. You didn't really call out Q3, are you basically saying that, the Street is at least, in the ballpark of kind of what you'd expect for Q3 and then Q4?
James W. Woodall - Chief Financial Officer & Executive Vice President: Yeah, we were really clear on Q2 and Q1 when we came through this year because of just some of the deltas where you guys were versus what we were seeing in the term fees and the impact. We've got a pretty good ramp in the second-half as we've all talked about. But, I think, we're more aligned where our heads are as to what the back half of the year looks like.
Gary A. Norcross - President, Chief Executive Officer & Director: Absolutely.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Great. Well nice job, thanks a lot.
Gary A. Norcross - President, Chief Executive Officer & Director: All right, thanks Dave.
James W. Woodall - Chief Financial Officer & Executive Vice President: Thanks, Dave.
Operator: The next question is from Brett Huff with Stephens. Please, go ahead.
Brett Huff - Stephens, Inc.: Good morning guys, how are you?
Gary A. Norcross - President, Chief Executive Officer & Director: Hey, Brett.
James W. Woodall - Chief Financial Officer & Executive Vice President: Hey, Brett.
Brett Huff - Stephens, Inc.: Two quick questions. I think you addressed the IFS question, so I won't ask that one. But in terms of margins, I sort of have two questions. One is, the margins are really good, especially given a tough revenue quarter, actually in both segments, so I wonder if you guys could address that and talk about, is that just sort of base incremental margins or is that cost cuts or sort of parse that out for us. And then number two, the second part of that question is, tell us about the incremental margins as we go into 3Q and 4Q, because again that – just addressing that back half ramp and profitability sort of implies really good incremental. So give us some comfort how we're going to see those incrementals pass through.
James W. Woodall - Chief Financial Officer & Executive Vice President: Yeah. I think, Dave, you did see a couple things in the second quarter. You saw some pull forward of deals into the second quarter. Those were a little higher licensing, which was helpful in terms of the margin profile. You are seeing some of our cost actions start to kick in, that are driving some incremental margin benefit, to answer your first question. To answer your second question, when you look at the back half of the year, a significant component of the back of the year growth is both in term fees, which we talked about, it's going to have very high incremental margins and the majority of the cost actions are driving benefit in the second half of the year. As you heard me talk about trending corporate expenses down as well as and the operations are driving some expense reduction as well. Both of those will help drive margin in the back half of the year, giving us some confidence in that 50 basis points for the full year.
Brett Huff - Stephens, Inc.: Okay. That's all I needed. Thank you.
James W. Woodall - Chief Financial Officer & Executive Vice President: Thank you.
Gary A. Norcross - President, Chief Executive Officer & Director: All right.
Operator: Our next question is from Ashwin Shirvaikar with Citi.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Thanks. Hey, guys. Good morning.
Gary A. Norcross - President, Chief Executive Officer & Director: Good morning, Ashwin.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): So – I appreciate the color that you guys gave back half, because that clearly is sort of the elephant in the room with regards to your acceleration. If I just look at normal first half to second half acceleration, I mean typically you guys do 46%, 47% of your revenues of your EPS in the first-half, and this year it looks more like 42%. So that's about a $0.27 gap to $0.27-$0.28 gap to the middle of your range, and I'm kind of wondering, I get $0.08, $0.09 of that from term fees impact, is the remainder of it cost action and what specific cost action are you taking that is going to have that sort of a benefit?
James W. Woodall - Chief Financial Officer & Executive Vice President: You've got two items outside of that, you're right on the natural acceleration. We believe it's there, we do have the term fees that we've talked about; so you've got that captured in correctly. The cost actions we've taken some cost actions in Q1, you saw some further cost actions in Q2, to the extent we don't see the sales execution that we're looking for, we'll potentially take further cost actions. We have other levers within our cost structure.
Gary A. Norcross - President, Chief Executive Officer & Director: That's right.
James W. Woodall - Chief Financial Officer & Executive Vice President: That could help us continue to make sure we maintain the profitability guidance, Ashwin, and protect the profitability guidance that we've given the marketplace. So those are the kind of the three big ones. The fourth would be to back to our contract delay. We've got some milestones that we'll meet in the back-half of the year in one of those larger deals that will add some incremental earnings per share as well. You add the four of those together, that is the bridge to the back-half of the year. It is a steep curve, but we are pleased with first, I mean second quarter, as we saw a little bit of the flattening of that curve, as we brought some extra EPS into the quarter.
Gary A. Norcross - President, Chief Executive Officer & Director: We've also got a number of key deals, Ashwin, that we've signed as you know, given the nature of our long-term revenue streams and the high reoccurring revenue. Our deals that we sign also take often times a number of months or even greater than a year to onboard and so, you are seeing some of those large deals that we've signed historically that we've talked about come online. You can start seeing that in some of the numbers we've actually disclosed for like IFS, et cetera, where we've got some large core banking deals that have been coming on. So all of those things to Woody's point, the levers that help us control our expense line and profitability line and also just new sales and the on-boarding of prior sales, all give us some confidence going into the back half.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Okay. I guess one thing I don't understand is the term fee. How can you have visibility into term fees? I mean you can't possibly know what contract is going to terminate because of M&A or something like that. So is there a contract of size that, that you've lost or something like that because of M&A, could you provide some color there?
James W. Woodall - Chief Financial Officer & Executive Vice President: Yeah. Actually, some of the term fees, we've already been notified on Ashwin.
Gary A. Norcross - President, Chief Executive Officer & Director: Exactly.
James W. Woodall - Chief Financial Officer & Executive Vice President: But they are awaiting regulatory approval. So you've got an idea in working with the customer as to when the de-conversion time horizon would be, when you'd actually see them go away. So we do have some visibility into those term fees already. Your point is valid, on others we don't have every dollar lined up or have been notified on every dollar, but we do have pretty good visibility into a large chunk of those based on the conversion timeframe that the customer is looking at.
Gary A. Norcross - President, Chief Executive Officer & Director: Yeah, as you mentioned, these termination fees are strictly related to financial institutions getting acquired or consolidating. So to Woody's point, we have to be given – we have – we're given notice, because we've got work to do to help them de-convert as they move on to their acquiring platform, which is the typical situation. We've had some situations where it's come the opposite direction that we've discussed on prior calls, but we get some pretty good visibility and typically, this is something that can get modeled pretty easily. What we were surprised by in the first half of the year is that, we didn't get that notification, which as we've said now multiple times that's a great outcome for the company, because we're retaining a very profitable client that's going to be buying more products and services from us.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Understood. One last question on Clear2Pay with regards to that acquisition, if you could provide an update on how that's progressing, what the client feedback is, and what the product roadmap is?
Gary A. Norcross - President, Chief Executive Officer & Director: Yeah. We've actually gotten some great response through that acquisition. As always, we put forward a very aggressive pro forma around growth as we accelerate it through our sales engine. We also put, always an aggressive target to make sure that we get the synergies necessary as we put – integrate these companies into our company. And I'll tell you we're right on plan on both of those. Pipeline is very strong, good deal closures, quarter-in, quarter-out, response from the clients have been very positive. As we talked about we did that acquisition, one of the things that resonated us most was Clear2Pay, especially with their open payment framework, was the fact that they were already penetrating many of the Tier 1s through a single payment type around the world. And so what the opportunity there is, is you penetrate with a particular payment type, say ACH, and then you come in, and you add wires you add other types through the open payment framework. So we're very pleased with this acquisition at this point. It's integrated very cleanly into the company. GFS has done a good job of accelerating the product growth rate by putting it through our sales engine. So right now, it's still early, but we would say we are very pleased.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Okay. Thank you, guys.
Operator: Our next question is from Tien-Tsin Huang with JPMorgan. Please go ahead.
Tien-Tsin Huang - JPMorgan Securities LLC: Hey, good morning.
Gary A. Norcross - President, Chief Executive Officer & Director: Good morning.
Tien-Tsin Huang - JPMorgan Securities LLC: Just wanted to ask on the – Good morning. I just wanted to ask on the – I think that you said that some deals signed earlier than expected. Is that related to the investments and other things that you're pushing, just curious what maybe drove that and how you feel just in general about accelerating pipeline and backlog conversion?
Gary A. Norcross - President, Chief Executive Officer & Director: Yeah, no, it's a good point, it is part of the investment. We feel very good about our deal closure. Year-to-date frankly when we look at total contract value on a new total contract value, we're up 10% over 2014 at this point in time. Frankly, if you adjust it for currency, that's greater than – that grossed around 15%; so we feel very good about it. From that standpoint our pipeline is very strong, and we are opportunistic of the opportunities as I've said on multiple cost, Tien-Tsin. I look for deal flow through our pipeline, you're not going to be able to sign them all, but are we having really good deal churn and are we making sure that our sales teams are refilling that pipeline. And I would tell you we're seeing that. And as I said, the results are showing that we're up year-to-date against this time last year on new sales, and frankly across both groups. So all-in-all we're pleased with the results and pleased with the investment. And we've highlighted a number of those sales, when we bring a sale forward in our prepared remarks, keep in mind these are large multi-million dollar engagements; so the team's doing a nice job.
Tien-Tsin Huang - JPMorgan Securities LLC: Okay. Good to hear that the big deal activities is very healthy. Just one more for me, just on the, I guess the Other line, just was a little bit bigger, the $11 million, what drove that exactly in the quarter?
James W. Woodall - Chief Financial Officer & Executive Vice President: That's, if you remember my prepared remarks, we sold a small investment, ended up being about $7 million in there, Tien-Tsin, and that was, the Other is just normal noise in there, but $7 million was a small investment gain.
Tien-Tsin Huang - JPMorgan Securities LLC: Understood. Thanks so much, guys.
Gary A. Norcross - President, Chief Executive Officer & Director: All right. Thank you.
Operator: And we'll go to Darrin Peller with Barclays. Please go ahead.
Darrin D. Peller - Barclays Capital, Inc.: Thanks again, guys. Listen, I just want to start off with the organic revenue. I mean, you talked about still maintaining your EPS, which again I think is great to see given the ramp needed, and all the one-time items was helpful, but when we look at the guidance you had given initially for the year being I think 5% plus for organic constant currency with all the add backs and moving out, can you just – I didn't hear, if that number was updated or maintained or what. And then I just have some follow-up questions on some of the large deals that you're announcing.
James W. Woodall - Chief Financial Officer & Executive Vice President: Yeah. We would still say that's exactly where we think we're going to land still in that 5% to 7% range, Darrin. Given what we've done to-date and talked about the back half of the year, it may trend towards the lower end of that, but still in that 5% to 7% range. So yeah, I think it's still there.
Darrin D. Peller - Barclays Capital, Inc.: Okay, that's helpful. Thanks. That's good to hear. Look, I just want to ask one follow-up, on the large deals you're mentioning, first of all it's good to see a $70 billion and $17 million (sic) [billion] deal. I mean, are there others in the pipeline like that and then I guess the next question is on Crédit Agricol, you mentioned an add-on in terms of new additional opportunities there. Just if you can expand a little bit on – is that an expansion to what you pre-existing had already with them? And then lastly is there anything like another Crédit Agricole or Sainsbury in the pipeline for these large transformational deals that you're doing in the GFS segment.
Gary A. Norcross - President, Chief Executive Officer & Director: Well, to answer to your question on the first part about the multi-billion dollar financial institutions and signing those large deals, are there are others in the pipeline, the answer is yes. I think, what you've seen over the last several years is, we've consistently executed on those. I mean, I will go back to (35:10), I will go back to the Citi announcement. All of these are big engagements with very large multi-engagements, CIT last quarter. So I mean, if you think about it, we continue to sign and close very nice transactions in that size. If you look in GFS, Crédit Agricole is a great example, where we started with consulting engagements, led to a professional services engagement. We're now engaging around the product side. So good growth of the way we think that GFS will head and the way we – the investments we've made. So there is other large deals in the pipeline that we continue to pursue. Of course, we don't sign them all, right, but that goes back to my deal flow comment in the earlier question. So all-in-all, we're pleased with the size of institutions we're signing. We're pleased with – we're starting to see product pull through in the GFS organization and IFS continues to execute very effectively.
Darrin D. Peller - Barclays Capital, Inc.: All right, guys. That's helpful. Thanks a lot.
Gary A. Norcross - President, Chief Executive Officer & Director: All right. Thanks, Darrin.
Operator: And our final question will be coming from Bryan Keane with Deutsche Bank. Please go ahead.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Hi. Good morning, guys. Just wanted to look at constant currency revenue growth for IFS and GFS going forward in the third quarter and fourth quarter, just some of your expectations there. I think I heard a comment that maybe the third quarter and the fourth quarter would be pretty equal in growth rate profile, so just curious to see how it maps out between the two groups.
James W. Woodall - Chief Financial Officer & Executive Vice President: Yeah. I think fourth quarter typically if you map out the path, has a little bit of a higher growth rate as the institutions are working through their capital planning and capital budgeting process. So we do see them flushing some capital budgets in the fourth quarter, that's historic in terms of both IFS and GFS. So you will see a little bit of a ramp there...
Gary A. Norcross - President, Chief Executive Officer & Director: I also would add on that. You always see nice transaction spikes in the fourth quarter due to the holiday season.
James W. Woodall - Chief Financial Officer & Executive Vice President: That's exactly right. And so, you will see a little bit higher in the fourth quarter, but that's more normal trend line if you will there. Beyond that, we don't have a significant other transaction change or volume change that we haven't already discussed in terms of either term fees or sales execution.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. And any comments individually for the two segment, IFS and GFS, on what to expect on constant currency for the third and the fourth.
James W. Woodall - Chief Financial Officer & Executive Vice President: No, IFS really has very little if any currency impact in it. So nothing there in terms of that constant currency. And then you can back math where we are, where we're going to be, sort of 5% to 7% in the aggregate for the full year, what we've got through the first half of the year at about 3.2% for the quarter. You can kind of back math it and see what your models say.
Bryan C. Keane - Deutsche Bank Securities, Inc.: So the increase to get to 5% or 5% to 7% from 3% is going to come mostly through GFS or GFS and IFS both accelerate in third quarter and fourth quarters.
James W. Woodall - Chief Financial Officer & Executive Vice President: It will be some of both because some of the term fees are flowing through IFS. We're getting over some of the comps that we've talked about and then GFS would also have some acceleration of the deals we've talked about signing.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay and then can you size the term fees for us that you're expecting for the second half of 2015?
James W. Woodall - Chief Financial Officer & Executive Vice President: Yeah, we've kind of outlined, we've talked about full year we thought we'd have about $50 million. In the first half of the year, we've had about $11 million. So very small. So we do anticipate term fees to be much more significant in the back half of the year. And I can't reiterate this enough, I know you guys are looking quarter to quarter. I can't reiterate this enough that lower term fees is a good thing for us long-term. We maintain the customer relationship, we cross sell, we up sell, and we keep the profitability line.
Bryan C. Keane - Deutsche Bank Securities, Inc.: And then just remind us what the term fees were for the second half of last year. Just so we can compare.
James W. Woodall - Chief Financial Officer & Executive Vice President: I think the last year it was about $20 million, with a full year 2014 of about $75 million.
Gary A. Norcross - President, Chief Executive Officer & Director: But as we said earlier in another question, you just can't predict when these things are going to happen. So M&A is going to – you know consolidation is going to occur at different times. And so there is always lumpiness around these kind of fees.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay, great. Thanks for the color.
Gary A. Norcross - President, Chief Executive Officer & Director: All right.
Operator: And that will conclude the Q&A session. I'll turn it back to the company for closing remarks.
Gary A. Norcross - President, Chief Executive Officer & Director: Thank you for your questions today and for your continued interest in FIS. I'd like to summarize by saying that we continue to deliver revenue growth fueled by significant recurring revenue streams with the industry-leading margins and strong sales results. We're pleased with our recent restructuring and resegmentation of our business, which has allowed us to align our services and solution portfolio to address clients' unique business challenges. In closing, I would like to thank our more than 42,000 employees around the world, who are committed to empowering our clients each and every day. This passion for moving our clients businesses forward to make them successful has earned us the loyalty of over 14,000 institutions across the globe. Together, we are empowering the financial world. Thank you for joining us today.
Operator: Ladies and gentlemen that does conclude your conference. Thank you for your participation. You may now disconnect.